Ivan Vindheim: So after this energetic start to the day, good morning, everyone, both in the room and online. And thank you to -- thank you that you are joining us this morning at our first quarterly presentation here at Salmon, our new Exhibition Center and showroom at Aker Brygge in the heart of Oslo. The Salmon is actually Norway's most visited exhibition center for farming of Atlantic salmon for natural reasons and came in with the Nova Sea acquisition. The Salmon is also Oslo's best fish restaurant according to TripAdvisor, so then it must be true. Everyday, Joe is always right about food and food experience. So if you have happened to be in Oslo, and you're looking for something good and healthy to eat, you now know where to go. And here we also find Mowi's only Mowi cooler in Norway with an assorted selection of our fantastic products. So for those of you who are physically present in the audience this morning, if you haven't already, please take a look on the way out after the presentation. I think it will be worth your while. That was this morning's marketing. My name is Ivan Vindheim. I'm the CEO of Mowi. And together with our CFO, Kristian Ellingsen, I will take you through the numbers and the fundamentals this morning, and to the best of my and our ability, add a few appropriate comments to them. And after presentation, our IRO, Kim Dosvig, will routinely host a Q&A session. For those of you who are following the presentation online, can submit your questions or comments in advance or as we go along by e-mail. Please refer to websites at mowi.com for necessary details. Disclaimer is both long and extensive. So I think, we leave it for self-study, as we usually do. So with that out of the way, I think we're ready for the highlights of the quarter. And to begin with, and on a general note, after a year of soft prices, following unprecedented industry supply growth last year of 12%, prices increased as expected towards the end of the year after a rather slow start to the quarter, I think, is fair to say. And for our parts, that translated into an operational profit of EUR 213 million in the quarter on quarterly record high operating revenues of EUR 1.59 billion, thanks, first and foremost, to seasonally record high harvest volumes of 152,000 tonnes. The latter is slightly above our guidance. Otherwise, our realized weighted production costs for our 7 production countries of EUR 5.36 per kilo in the quarter was good, I would say, and slightly lower than the third quarter, and down by 5.8% year-over-year, or in absolute terms, down by EUR 47 million in the quarter and EUR 176 million for the year as a whole or NOK 2.1 billion, which are considerable amounts. And further on that note, our standing biomass cost was further down in the quarter and is now at its lowest since 2022, which is a good starting point for our P&L farming cost in 2026. So I think it's fair to say that we expect further cost reductions in the coming year, although the first half of the year will be higher than the second half as always due to our harvest profile, which is following the sea temperatures and the growing conditions in the sea, and consequently impacts our dilution of fixed costs. And this also applies to the first quarter when compared to the fourth quarter. A cost position, which was further strengthened, I would say, by our recently announced strategic feed partnership with Skretting/Nutreco, one of the world's absolute leading aquaculture feed producers, if not the leading and which in short means that Mowi will produce its feed on Skretting formula going forward in addition to capitalizing on Skretting's purchasing power. So this, I think we have ensured the best feed for Mowi farming, now also at the lowest possible cost, which is the best of the 2 worlds. And in total, we expect to save at least EUR 55 million annually in Mowi Farming, whilst also retaining our earnings in a highly profitable feed business, which is an important element in this because we expect the feed market to tighten in the years to come after a decade of overcapacity. And overcapacity, in all fairness create ourselves, and we built our 2 feed mills back in the 2010s, and from which our farming peers have benefited greatly, I think, it's also fair to say, but -- which has now worked itself out. So the table has, in many ways, turned because by piggybacking Skretting, we're offsetting the weaknesses that come with being a small feed producer like ourselves, with limited resources, including R&D, and perhaps the most important input factor in salmon farming, whilst also keeping the advantage of being vertically integrated. So firstly, I'm convinced this will make us a better farmer. I'm also convinced that this is the solution that maximizes our cash flow given our opportunity space. So this is good stuff for us. Carrying on, Consumer Products and Feed, both delivered 2 reasonably good quarters, I would say, at least all things considered, if we get back to the details later. And finally, as the last bullet point on this slide reads, our Board of Directors has decided to distribute a quarterly dividend of NOK 1.50 per share after the fourth quarter. I think that does it for the highlights of the quarter. Then we can move on to our farming volume guidance. And if we begin with taking stock of the year, we are just left behind. 2025 was another record-breaking year for us in terms of harvest volumes with 559,000 tonnes after several upward adjustments of our guidance during the year. And this is equivalent to a growth of as high as 11.4% year-over-year. As for 2026, we uphold our farming volume guidance of 605,000 tonnes, now with Nova Sea on board, and that translates to a further 8.3% growth year-over-year, which means that Mowi most certainly will outperform the rest of the industry on farming volume growth in the coming year once again. And finally, as you can see from the chart here, and as the last bullet point here says, we reaffirm our organic farming volume targets in 2029 of at least 650,000 tonnes. And the latter, we will achieve through increased smolt stocking and by means of post-smolt among other things, because we have still unutilized license capacity in Mowi in several of the countries where we operate. And post-smolt, we can increase the productivity on licenses already in operation, which are to be set into operation. So Mowi's idiosyncratic farming volume growth continues unabated after the rather quiet 2010s and is surpassing that of the wider industry and our listed peers by a large margin, cementing our #1 position in the market for the Atlantic salmon. Then from the overall farming volume picture to key financial metrics for the quarter and the year, there are a lot of numbers on this slide. So I think we'll have to focus on the most important ones now and leave the rest for later at Kristian's session. And turnover and profit in the quarter, we have just been through. So I think we can skip them here. But for year, however, turnover was EUR 5.73 billion or NOK 67 billion, which is the highest so far, but only slightly higher than 2024, as you can see from the table here due to the already addressed soft prices because our volumes were significantly up last year. And soft prices also impacted full year. Operational EBITDA of EUR 949 million or NOK 11.1 billion and full year operational profit of EUR 727 million or NOK 8.5 billion. Furthermore, net interest-bearing debt stood at EUR 2.65 billion at the end of the year. Now with Nova Sea fully consolidated and paid for. And by extension, we have increased our long-term debt target accordingly to EUR 2.70 billion, supported by a strong balance sheet and an equity ratio of 45% in addition to improved debt service capacity as a result of significantly higher volumes in all divisions, which are in the end of the day, the mainstay of our business model and the platform of our earnings. Speaking of earnings, underlying earnings per share was EUR 0.26 in the quarter and EUR 0.92 for the year, whilst annualized return on capital employed was 15.5% in the quarter and 13.3% for the year, which I would say is decent in 2025, characterized by low prices, and weak results for the industry. So when 2025 is fully settled and accounted for, I feel quite confident that Mowi once again will stand out as one of the absolute most profitable farmers in the industry, which is an important element in this. Then further on prices. I think these charts illustrate the whole value because prices were off to a good start last year actually before they began to fall, following unprecedented industry supply growth as a result of very favorable growing conditions across the board, especially in the first half of the year. And the introduction of so-called liberation day tariffs did not exactly help the situation either. So then prices remained low until we saw, as expected, an increase towards the end of the year. And after a rather brisk start to the new year in terms of supply as a result or as a final contribution from last year's exceptional growth, industry supply growth has now finally normalized, and is hovering around 0%, which stands in stark contrast to the 12% we saw last year, and which bodes well for the market balance for the remainder of this year. And yes, I would like to add to that because we believe in our tight market balance going forward in the coming years because in our view, there is no way the industry can manage to replicate previous decades, represents annual supply growth in the coming years with current regulatory limitations and technological constraints, 1% to 2% will be more than hard enough in our view. And last year, demand was 5% according to our numbers, which is a number of most groceries and proteins and meals. So with these numbers, demand should far outstrip the supply going forward. So this will be interesting to follow. Then our own price performance in the quarter, which I would say was good as it was 7% above the reference price, which is the price we measure ourselves against, positively impacted by contract share 24% in the quarter and contract prices above the prevailing spot price, in addition to good quality of our fish. But it's negatively impacted this time around by timing effects and size mix. So with that, I think we are ready to start drilling down into the different business entities, and we begin, as usual, with Mowi Norway, our largest and most important entity by far and the locomotive of our business model. And if you take the numbers first, operational profit was EUR 199 million for our Norwegian operation in the quarter, whilst the margin was EUR 2.02 per kilo and harvest volumes 98,000 tonnes, in a rather troublesome quarter biologically for 2 southernmost regions, Region West and Region South, I think it's fair to say due to issues with gills and plankton. But having said that, our farming P&L cost is still down in the quarter year-over-year, as we can see from the chart here. And the outstanding biomass cost in Norway was further down in the quarter and is now at its lowest since 2022 at the end of the year, which is a good starting point for our P&L farming costs in Norway in 2026. Whilst our 2 southernmost regions struggled somewhat in the fourth quarter, it was once again margin slam dunk by Region North with an impressive margin of EUR 2.61 per kilo on strong biology followed by Region Mid and a margin of EUR 2.26 per kilo. So hats off for that. But also our overall margin for Mowi Norway in the quarter of EUR 2.02 per kilo, I would say, is reasonably good, all things considered. Then the harvest volumes in Mowi Norway. Last year was another record-breaking year for us in Norway with 332,000 tonnes harvest volumes, which is equivalent to a growth of as high as 9.4% year-over-year. And for 2026, we maintain our volume guidance of 380,000 tonnes, now with Nova Sea on board, and that translates to a further 14.5% growth year-over-year. But our short-term goal on these assets is still 400,000 tonnes, which we hope to reach in the not-too-distant future, and which would be our next milestone in Mowi Norway, at least in terms of harvest volumes. Then our sales contract portfolio for Mowi Norway, and this one is important. Contract share in the fourth quarter was 23%, and was with that spot on our guidance, and these contracts contributed positively to our earnings in the quarter. As for 2026, since we believe in market recovery in 2026, we have chosen to be relatively low on contracts, at least so far with approximately 15,000 tonnes per quarter. So let's see how that plays out. That was the last slide on Mowi Norway, and we can have a look at our 6 other farming countries, and we begin with Mowi Scotland. Autumn is always a challenging time of year in Scotland biologically due to high sea temperatures and generally demanding environmental conditions. And in the fourth quarter, we also harvested out some high-cost sites in Scotland. So in light of that, I would say an operating profit of EUR 17 million for Scottish operation in the quarter is a good result with a margin of EUR 1.39 per kilo on 12,000 tonnes harvest volumes. And as we are talking about Scotland, it's also worth mentioning that last year was a milestone year for us in Scotland in terms of harvest volumes, as we crossed the 70,000 tonnes mark for the first time with our 72,000 tonnes. Now for this, our standing biomass was at a record high at the end of the year with cost back at 2022 levels, also in this region, which is a good starting point for new records in 2026. Then overseas to Chile. Mowi Chile continues, unfortunately, to wrestle with soft prices following high supply also out of Chile due to very favorable growing conditions in Chile, as well last year in addition to some farmers having switched to Atlantic salmon from Coho, a Pacific salmon species after doing the reverse a few years back. So just for that, I would say an operational profit of EUR 10 million for Chilean operation in the quarter is a good result on our 26,000 tonnes harvest volumes, thanks once again to the lowest cost in the group in the quarter. Otherwise, our organic growth of our farming volumes in Chile continues unabatedly with 78,000 tonnes last year and 82,000 tonnes targeted for this year. Then farming off to Canada. Mowi Canada also wrestled with soft prices in the fourth quarter and even more so as our cost level in Canada in general is higher than in Chile, which is best-in-class. But in the fourth quarter, also due to knock-on effects from the third quarter and biological issues at that time, particularly in the East. And this resulted in a loss of EUR 50 million in Canada in the quarter. But on the positive side, biology is now satisfactory in Canada, both in the East and in the West. And our costs or biomass cost is back at '22 levels, also in these regions, which should provide the basis for good earnings again in Canada, once prices recover, which brings us the two smallest farming entities Mowi Ireland and Mowi Faroes. In Ireland, we harvested close to nothing in the quarter. So there's not much else to say really over and that biology is now satisfactory in Ireland after rather troublesome 2025 biologically. In the Faroes, however, we harvested 3,500 tonnes in the quarter, ending a record year for Faroes operation with almost 15,000 tonnes harvest volumes and with a margin of EUR 1.68 per kilo in the quarter and operational profit of EUR 6 million, which I would say is a good result, considering that we have 100% spot price exposure in the Faroes. And as the last bullet point on this slide says, biology was once again strong in the Faroes in the quarter. Then further out into the Atlantic Ocean and to Iceland and Icelandic Farming Operation, Arctic Fish. And to begin with, I have to say it's very encouraging to see that we are below EUR 6 again in production cost in Iceland, which gave rise to a small, but still a positive profit contribution from Iceland this time around. So hopefully, with more normal prices going forward, we can put the time of negative results in Iceland behind us. Otherwise, we harvested almost 15,000 tonnes in Iceland last year, which is the highest so far. For this year, we aim to harvest 7,500 tonnes, which is an important element in this because lack of scale in Iceland costs us at least EUR 0.5 in production cost. So more scale would have brought our cost level in Iceland closer to that of the Faroes and the results we see there. But more scale requires more investments and more investments require sensible framework conditions. So everything is connected to everything else also here. So I hope the Icelandic authorities know how to act on this. So this humble request at the end. I, think we can conclude Mowi Farming, and we want to Consumer Products or downstream business. Higher prices for farming mean higher raw material costs for Consumer Products, and more normal prices mean that the time of windfall profits for downstream business is over for now. But we shouldn't be too sorry about that because better prices are never wrong for a farmer, not even an integrated one like ourselves, although the transition phase is always a bit troublesome downstream before the higher prices find their way to the shelf. But having said that, I would still say that an operational profit of EUR 46 million in the quarter is a good result, actually, our second best fourth quarter ever, ending another record-breaking year for our downstream business in terms of earnings with an operational profit of EUR 197 million last year or NOK 2.3 billion, an all-time high sold volumes of 265,000 tonnes product weight, the latter also demonstrating good demand for our products. Then last one out this morning, Mowi Feed. The fourth quarter marks the end of another record-breaking year for our feed business as well with operational EBITDA of EUR 20 million in the quarter and EUR 67 million for the year, on 161,000 tonnes sold volumes in the quarter and 585,000 tonnes for the year. Faroes performed well last year, I think, is correct to say. And with our strategic feed partnership with Skretting, one of the world's absolute leading aquaculture feed producers, if not the leading, I think we have the very best starting point to do even better going forward, because by piggybacking Skretting, I think we have ensured the best feed for Mowi Farming now also at the lowest possible cost. And as we said earlier this morning, in total, we expect to save at least EUR 55 million in Mowi Farming annually, whilst also retaining our earnings in our highly profitable feed business in our feed market, we expect will tighten in the years to come. So once again, personally, I'm convinced this will make us a better farmer. I'm also convinced that this is the solution that maximizes our cash flow given our opportunity space. So with that, Kristian, the floor is all yours. So you can take us through the financial figures and the fundamentals. Thank you, so far.
Kristian Ellingsen: Thank you very much, Ivan. Good morning, everyone, both who follow us online and those who are present here at The Salmon in Oslo for the first time. As usual, we start with the overview of profit and loss, which shows record-higher revenue for the year on all-time high volumes. Q4 operational EBIT was EUR 213 million and EUR 727 million for the year. These figures are equivalent to a return as follows: underlying earnings per share of EUR 0.26 and EUR 0.92, respectively, for Q4 and for the full year. Return on capital employed was 15.5% for the quarter and 13.3% for the year, both above the 12% requirement level, even in the year with market headwinds. When it comes to the items between operational EBIT and financial EBIT, the biomass fair value adjustment was positive in the quarter on positive price movements. Income from associated companies includes a revaluation gain on Nova Sea related to the acquisition. Net cash flow per share includes the cash payment for the Nova Sea shares and Nova Sea is fully consolidated now from Q4 onwards. Net financial items were as expected and relatively stable from Q4 '24. We then move on to the balance sheet, which shows a strong financial position. Equity ratio is 45% or 47% measured on the covenant methodology. Here is the cash flow statement. The full year '25 in cash flow items on working capital, tax, CapEx, interest paid were in total as guided, although with some internal differences between the individual items. Closing NIBD was EUR 2.65 billion, the new NIBD target is EUR 2.7 billion following the Nova Sea acquisition and volume growth through the value chain. Credit metrics based on the new target are consistent with a solid investment-grade rating. When it comes to cash flow guiding for 2026, we estimate working capital tie-up prudently EUR 200 million on further growth in farming and the rest of the value chain. CapEx is estimated to EUR 400 million, with the increase from prior years is explained by completion of 2 large construction projects in Nova Sea related to processing and freshwater amounting to approximately EUR 60 million. Interest payments are estimated to EUR 210 million and taxes to EUR 190 million. We have a solid financing in place, and the change here from the last quarter is the EUR 382 million in 5-year green bonds, which we issued in the quarter, which mature in December 2030. We issued the bonds at EURIBOR plus 1.18%, so attractive terms. Moving on to cost, starting with feed, which, of course, is a significant driver. The positive development in feed prices has led to lower cash cost and lower realized P&L costs. Feed prices have been trending down since 2023 and are down 25% from the peak. This will lead to a further P&L cost improvement in 2026. Into Q1, we see overall relatively stable raw material prices. In 2025, we saw a decline in realized P&L costs. This was driven by lower feed prices, but also other cost components were improved. The realized P&L effect in 2025 was EUR 176 million. And we expect full cost to be further reduced in 2026, but due to the impact from volumes and scale effects, cost is always lower in the second half than the first half. So there will be a temporary increase in P&L cost in Q1 as usual. We maintain a strong cost containment and cost leadership focus. As communicated in our CMD in '24, we have identified a cost reduction potential of EUR 300 million to EUR 400 million until 2029 with 2 main components. The main one is operational improvements, including post-smolt Mowi 4.0, efficiency, other initiatives. The other component is the cost savings programs, including the productivity program. And we maintain our good relative cost position with the #1 or the #2 position in the various countries we operate as illustrated in the graph below. In 2025, we identified EUR 65 million in annualized cost savings related to the cost savings program, some with effect in '25, but also with some cash and P&L effect going forward. Total -- sorry, total cost savings 2018 to '25 amount to EUR 392 million, of which EUR 251 million in farming. And there's a total of over 2,100 initiatives across different categories, including boats, treatments, nuts, health, procurement, automation, energy, travel and other items. And we have set a new target for 2026 of EUR 30 million in annualized savings. In addition to bottom-up initiatives, we have identified clear goals for various spending categories based on analysis and comparisons. And this comes in addition to the EUR 55 million net savings related to our feed partnership with Skretting. An important part of the cost saving program is the productivity program. Salary and personnel expenses represents the second largest cost item in Mowi amounting to EUR 759 million in 2025. This cost item is something we can influence through our efforts to work smarter, become more productive. And after that program was initiated in 2020, we have grown harvest volumes in Mowi from 436,000 tonnes to 605,000 tonnes, which is the guiding for this year. And in the same period, then FTEs are down from approximately 15,000 to down to 14,200 approximately. So this is an impressive productivity improvement in the period. And we have set ourselves a new target for 2026, on reducing FTEs by another 250 through the productivity program. And this is being achieved through natural turnover, through retirement, reduced overtime, reduced contracted labor, and automation and rightsizing. And this slide shows the productivity effects for different parts of the business. So a good track record here for Mowi. Then we move on to market fundamentals, starting with industry supply. In Q4, the year-on-year volume growth was 9% compared with 12% for the full year. And the increase in the fourth quarter was driven by Chile. The biomass composition in Chile indicates continued high supply in the short term, followed by a more moderate development. For the industry in Norway, the biomass composition year-end and the improved productivity experienced in 2025 for the industry. should limit the potential for significant volume growth during 2026. Demand was good in the quarter. Estimated demand growth according to our numbers, was 8% in Q4 and 5% overall for the full year of 2025. The improved demand due to lower shelf prices in retail is expected to continue in 2026. In Europe, consumption was relatively stable and in line with the development in supply. Retail demand was good and also helped by additional Christmas demand. In the U.S., consumption increased as much as 13% driven by the retail channel with the fresh pre-packed segment being the main contributor. And in Asia, we see that consumption was strong in all major markets, helped by market conditions, but also an ongoing structural shift in sales channels with more home consumption continuing to drive demand in Asia. While prices in '25 have, of course, been impacted by the unprecedented supply growth, it's worth noting that prices improved somewhat in Q4 as a positive response to gradually decreased supply. And while there is some short-term industry volume growth potential in the biomass composition, particularly in Chile, the figures indicate that there is a limited supply growth potential for 2026 overall. Our estimate is 1% industry supply growth for 2026, and we believe in modest growth, also in the coming years. But due to previous investments and measures, we estimate a higher growth for Mowi compared with the industry. The guidance of 605,000 tonnes represents 8.3% annual increase. And we also have a good track record of not only delivering on our volumes, but actually over-delivering, as shown here, based on the statistics for the last 5 years, with plus 2.2% for Mowi, which is very different from the average 5.9% miss for our peers. So with that, I conclude my walk-through, and then we are ready for Ivan and some comments on concluding remarks.
Ivan Vindheim: Thank you for that, Kristian. Much appreciated. And it's time to conclude, as Kristian said, for some closing remarks before we wrap-up with our Q&A session hosted by our IRO, Kim Dosvig. And to begin with, I don't think it's very controversial to say that the fourth quarter closed out rather disappointing year in terms of prices following unprecedented industry supply growth last year of 12%. But disregarding that, I would say 2025 was another strong year for Mowi operationally with record high volumes by a large margin in all divisions to name a few. And speaking of margins, we also saw our farming margins once again at the top end of the industry scale in the regions where we operate, indicating a competitive cost position for Mowi. And further on that note, we saw our farming P&L costs come down by a whopping EUR 176 million last year, or NOK 2.1 billion, and outstanding biomass cost was further down during the year and is now at its lowest since 2022, which is our good starting point to push our farming cost a tad further down in 2026. Otherwise, we have maintained our farming volume guidance for this year this morning of 605,000 tonnes, and that's equivalent to a growth of as high as 8.3% year-over-year, which means that Mowi more certainly will outperform the rest of the industry on farming volume growth again. And finally, our downstream business clocked once again up record high earnings last year, demonstrating the strength of our vertically integrated value chain, especially when the going gets tough like last year. So once again, a big thank you to all of my colleagues who made all of this happen. It's of course, much, much appreciated. Then from one thing to another, the market balance is looking much better now with industry supply growth hovering around 0%, which stands in stark contrast to the 12% we saw last year. And if you look further ahead, as we said earlier this morning, there is, in our view, no way the industry can manage to replicate previous decades, 3% annual supply growth in the coming years with current regulatory limitations and technological constraints. 1% to 2% will be more than hard enough. And demand was 5% last year according to our numbers. So these numbers demand should far outstrip supply in the coming years. So this will be interesting to follow. And last but not least, I have to say, we are very happy about having landed our strategic review of the Feed division because truth be told, this has been a headache for us for years, as we have seen that our feed has been more expensive than that of our peers, after first having a feed that did not perform. And either is, of course, acceptable to the largest salmon farmer in the world. So by partnering up with Skretting/Nutreco, one of the world's absolute leading agriculture feed producers, if not the leading, I think we have ensured the best feed for Mowi Farming going forward now, also at the lowest possible costs. And as we said earlier this morning, we expect to save at least EUR 55 million annually in Mowi farming whilst also retaining our earnings in our highly profitable feed business. In our feed market, we expect will tighten in the years to come. So once again, I'm convinced this will make us a better farmer. I'm also convinced that this is the solution that maximizes our cash flow given our opportunity space. So this is good stuff for us. So with those closing remarks, Kim and Kristian, I think we are ready for the Q&A session. So if Kristian can please join on the stage, and then you, Kim, can administer the mic and orchestrate questions from the audience and the web. I don't know who wants to start, Kristian.
Christian Nordby: Christian Nordby, Artic Securities. With your new net debt target, I assume that you want to stay around that target, not necessarily only below, and you believe in a very tight market ahead, as you said. Should we believe that all excess cash flow will just be paid out? Or do you think you will find other ways to grow beyond what you guide on?
Ivan Vindheim: Over time, confirmative, but we will also, of course, continue to grow, but then the finance whatever it is separately.
Unknown Analyst: [indiscernible] Carnegie. So in Chile, there's a new government and the industry seems to be quite positive in terms of deregulations could you maybe speak about that potential, both on the cost side and potentially more growth coming from Chile? And the second question just on the feed savings. When do you expect that to start hitting the P&L?
Ivan Vindheim: Two good questions. If we start with Chile. So now in Chile, I've been talking about growth as long as I have almost lived and not much has happened in the past few years. And our President is only elected for 4 years, and it takes 3 years from egg to plate in this industry. So let's see things take time in this industry. So I've heard the same, but I would also like to see it. There are some constraints in Chile. So our take is what you saw on our long-term supply/demand slide earlier this morning. The next 5 years, it's really, really hard to see that this industry in total can manage to deliver much growth. So let's see. We are not visors, but at least we have some data points we are following. Feed, yes. So we have started. We have started. But you know, the circle, first, it goes to inventory and balance sheet, and then it ends up finally in the P&L. So in the P&L, I think you should think 2027 because of that. But in terms of cash, we expect to see that this will start to impact the cash flow already in March. And already in the second quarter, we expect to see considerable savings, but back to the P&L, that takes longer time.
Kim Dosvig: Okay. Then we have a few questions from the web from Alexander Sloane in Barclays. He's got a question on supply. You point to 1% global supply growth in 2026, but 5% to 8% growth in Q1. What gives you confidence in this tightening? Could you have a year of another positive supply surprise?
Kristian Ellingsen: Yes. Of course, we are dealing with biology here. So there is always a general disclaimer. That being said, our views on this matter is based on the biomass composition, and also recent developments and temperatures, et cetera. If you look at the biomass composition, we see that we are down on a number of individuals, both in Norway and also for the industry in general. We see that average rates are somewhat up, giving some short potential for volume growth in the near term. Reference to the question, we have seen that also now in Q1, but we believe that for the year as a whole, I think 1% is a more reasonable number.
Kim Dosvig: Okay. And then his second question is on demand, 5% global demand growth in 2025. Can this be sustained at the same level in 2026? And which regions are better or worse?
Kristian Ellingsen: We believe in good demand also going forward. If you look at the Q4 demand growth estimate, that was 8%. So i.e., higher than the overall a 5% figure for '25. It's also been 8% on average per year, the previous decade, as Ivan showed on the slide. So we believe in continued good demand growth. And I believe that there's a good potential also going forward. We see especially good growth in Asia, also good demand growth in the U.S. We see in the U.S., particularly good developments in the prepacked segment with 24% volume growth now in '25 on our numbers. So the potential is definitely there also going forward.
Kim Dosvig: Okay. Then another question from the web from Andres in Berenberg. He's got a question on CapEx. Could you please put the EUR 400 million target for this year in a long-term context? Is this the level of investments driven by specific one-off projects or in line with a reasonable long-term trend?
Ivan Vindheim: I think you should see 2026 as one-off and allocated to a transition effect related to the acquisition of the Nova Sea. So I think last year's level, adjusted for size is much better estimate for the future.
Henrik Knutsen: Henrik Knutsen, Pareto Securities. Could you elaborate on your biomass status in Norway with or without Nova Sea?
Ivan Vindheim: Can you please elaborate a little bit more on the question? So what are you?
Henrik Knutsen: You're saying biomass is up 8.7% year-over-year, which is all regions, but Norway specifically. And yes, I guess, you're going to say that Norway is higher. Yes, but is that because you didn't include Nova Sea last year? So the question is, if you could sort of pro forma adjust your Norwegian biomass.
Ivan Vindheim: Okay. A complicated question. I think we take it after this session.
Henrik Knutsen: Let's do that.
Wilhelm Dahl Røe: Wilhelm, Danske Bank. You mentioned sort of cost of living still impacting the American demand. I'm just wondering with new contracts going into 2026, do you see any impact of tariffs, even though you have most from the U.S. with the lower tariffs?
Ivan Vindheim: Yes, absolutely. So there is no free lunch. So tariffs impact demand, but that effect I've already seen. And back to the 5% figure, Kristian just explained, that 5% figure included tariffs. But definitely, tariffs play a role here, they do. But still with 5% and the supply growth we expect for this year and going forward, this should be a tight market balance.
Kim Dosvig: Okay. No more questions from the web nor the audience here.
Ivan Vindheim: Okay. Then it only remains for me to thank everyone for the attention. We hope to see you back already in May, if not before, here at The Salmon. So please feel free to take a trip to The Salmon and try out some of our delicacies. I think it will be worth the trip. So with that in mind, folks, take care and have a great day ahead. Thank you.